Michael Joseph McCormack: Good morning and welcome to APA's 2015 Financial Results Presentation. I'm Mick McCormack, APA's Managing Director and CEO. APA's Chief Financial Officer, Peter Fredricson, is sitting with me here in our Sydney office, and we will be presenting our financial results in detail later. I've also got some of my executive team here to assist in answering any questions, including Ross Gersbach, our Chief Executive Strategy and Development; Rob Wheals, our Group Executive Transmission; and John Ferguson, our Group Executive Distribution. Today, I will kick off with an overview of the results and some of the strategic highlights from the year. Peter will then run through the numbers in more detail, before I conclude with a few words on the strategic outlook for the APA business. Then finally, we'll take questions. Starting with the numbers. By all accounts it's been a good year for APA, and the numbers show it. On a statutory basis EBITDA was up by 70%, net profit after tax by 63% and operating cash flow by 30%. Excluding significant items, which are mainly related to profit booked on the sale of what is now called Australian Gas Networks or formerly Envestra, APA's normalized results were strong reflecting solid organic growth across the business. Normalized EBITDA on a continuing business basis was up 18%. Normalized profit after tax was up by 2% and normalized operating cash flow up by 24%. Even after accounting for the increased number of securities on issue after the mid-year equity raising, operating cash flow per security was up both on a statutory and normalized basis by 13.5% and 8%, respectively. The directors have declared a final distribution of AUD 0.205 per security taking the FY 2015 total distribution to AUD 0.38, an increase of nearly 5% on last year. At the minute we're firing on all cylinders. It's great to be able to report organic growth across the business. To be clear this was across the majority of our assets not just those that we expanded, the Roma Brisbane Pipeline, Pilbara Pipeline System, Mondarra gas storage, Amadeus gas pipeline to name just a few. We've been focused on what we've always been focused on, which is strengthening and leveraging our capabilities and industry-leading expertise. With the interconnected East Coast Grid in place, we set about expanding to meet increased customer demand on assets like the South West Queensland Pipeline and the Victoria-New South Wales Interconnect. We've also now expanded the grid to Gladstone, where the LNG industry is developing. By doing so, our infrastructure has connected more gas resources with more gas markets. We're also investing in the West. We expanded the Goldfields Gas Pipeline to serve our customers better and are working on a greenfield development off the Goldfields Gas Pipeline that will result in us transporting gas some 1,500 kilometers to gold mines in the Eastern Goldfields region owned by AngloGold Ashanti. And APA is not just to boring set and forget pipeline owner; we are working with our customers to leverage and enhance our capabilities to deliver innovative solutions and ideas that enable those customers to manage their energy portfolios flexibly and dynamically. These might be shorter term offerings, but they are flexible and in response to the dynamic gas market that has been developed, particularly on the East Coast of Australia. They deliver what our customers want and are asking for, and they increase the utilization of our assets. We have the necessary skills and expertise in-house from development, design, engineering and construction of the assets to ongoing operational and commercial smarts. In April this year, we opened what I call Mission Control, which is the Integrated Operations Centre up in Brisbane. This will be where operational control of the majority of our assets will sit from late 2016. We also served our distribution customers well in FY 2015 focusing on project delivery to enhance network reliability and reach and growing their customer bases. APA networks' operating team replaced more than 500 kilometers of mains across Queensland, New South Wales, Victoria and South Australia and has over 28,000 new connections to existing networks. We listen to our customers to understand the market so that we in turn create value for all of our stakeholders, our customers, employees, communities, and investors. We spent AUD 343 million in growth CapEx during the financial year. The map looks busy because that's what we had been, very busy. I'll go through a couple of the salient project updates in the coming slides, but this map shows on a page the major projects we've been working on over the last 12 months. Major developments are underwritten by long-term revenue contracts and/or regulatory arrangements, so that means we're working on these because our customers need the gas molecules moved around efficiently and cost effectively. Our pipelines do that and more. Peter will talk in detail about our financing activities later, but all of this growth has been funded while maintaining a very solid balance sheet. The strength of our balance sheet was fundamental to the success of the completion of Australia's largest pipeline transaction. On the 3rd of June 2015, APA completed the US$4.6 billion, that's nearly 6 billion in Aussie dollar terms, acquisition of what we now call the Wallumbilla Gladstone Pipeline. The new pipeline contributed four weeks of earnings to APA's FY 2015 results from the 20-year take-or-pay contracts that are in place with both BG and CNOOC. Integration has gone well with the necessary processes, systems and governance in place for APA to manage the ownership of the asset. The acquisition financing was hugely successful, thanks to the strong support received from the global investment community, in general and you, our security holders in particular. The AUD 1.8 billion of equity was raised in a one-for-three rights issue over the Christmas period receiving very solid support from APA's existing security holders. In March, we raised US$3.7 billion equivalent in sterling, euro and U.S. dollar markets with tenors ranging from 7 years to 20 years and at a very attractive fixed interest rates. We've also subsequently converted the cash flows that we expect during FY 2016 after U.S. denominated interest cost into Australian dollars. Let's turn to slide eight, the Victoria-New South Wales Interconnect project. Back in late 2013, we announced three new gas transportation agreements to support the expansion of the Victoria-New South Wales Interconnect from what was then around 44 terajoules a day to nearly 120 terajoules a day. These expansion projects were completed during the year, coupled with bi-directional capabilities of the assets on APA's East Coast Grid, it means Origin Energy, Energy Australia and Lumo Energy can start using the extra capacity to move gas from Victoria to New South Wales and to Queensland as their respective needs arise. We've also recently announced a fourth gas transportation agreement with an existing customer to expand the Victoria-New South Wales Interconnect further by 30 terajoules a day. This will result in trebling of the Victoria-New South Wales Interconnect in the last three years. We've invested a lot of time and money into the East Coast Grid. The East Coast Grid is effectively a gas superhighway, something that nobody would expect a pipeline company to be describing its assets a gas superhighway. It offers unprecedented levels of service, innovation and flexibility to the gas industry. It covers around 30 gas receipt points, around 100 gas delivery points both in-pipe and LNG gas storage services, multi-asset gas transportation agreements, capacity trading, and in-pipe trades as well as shorter-term interruptible haulage and storage services. Shippers can now readily and easily transport gas sourced from a number of fields making basin-on-basin competition a reality to the benefit of the shippers and gas consumers alike. This has only been made possible with the investment and interconnectivity offered by APA's East Coast Grid. We've been investing in pipeline connectivity, bi-directional capabilities and customer management systems. In April this year, we opened the Integrated Operations Centre in Brisbane bringing together commercial, operational and engineering resources into the one location to holistically manage APA's assets. To begin with, the Queensland and Northern Territory assets are now controlled by the Integrated Operations Centre. By the end of financial year 2016, we expect the majority of our assets around the country to be managed from the Integrated Operations Centre. I'll just repeat the essence of this slide before moving on. We've created a gas superhighway on the East Coast without any government support or regulatory oversight. This is the market at work. Continuing the theme of connecting more gas resources with more gas markets, the possible NT Link fits perfectly into this. 18 months ago, we announced a feasibility study to determine whether a link between the Northern Territory and our East Coast Grid was commercially feasible. Given the benefits that our East Coast Grid has brought to the eastern gas market by connecting up the East Coast gas basins with multiple gas markets on the East Coast and providing for basin-on-basin competition, we thought we could provide even more options for shippers and the gas users if the North were also to be connected on. A link between our Amadeus Gas Pipeline in the Northern Territory with the East Coast Grid would enable seamless delivery of gas from the Timor Sea to Bass Strait into Sydney, Brisbane, Melbourne and, of course, Gladstone. Multiple route options have been investigated but the final decision will likely depend on contracted gas volumes. Obviously, the shorter the route, the less expensive the link is likely to be built. It's also well documented that the NT Government subsequently launched a process of its own called NEGI or North East Gas Interconnect in late 2014 and called for bids. APA has been shortlisted as one of the four bidders, with final bids due in September. We at APA continue to believe that the NT Link will further add to the long-term security of energy supply to the East Coast market whilst giving resources – or reserves in the Northern Territory access to a wider market. Western Australia has been quietly achieving as well. Our assets in both the emerging Perth region energy precinct and the Pilbara, Goldfields mining regions have achieved earnings growth. We have completed the Goldfields Gas Pipeline expansions and commenced construction on the Eastern Goldfields Pipeline that will transport gas from Karratha at the northwestern end of the Goldfields Gas Pipeline, some 1,500 kilometers to AngloGold Ashanti's gold mines of Tropicana and Sunrise Dam. We're on track to deliver first gas by the middle of this year under the long-term gas transportation agreements with AngloGold and we continue to discuss further possible expansions of the assets for other customers with needs in the area. The safety of our people and operational excellence is an ongoing focus for us at APA and none of us take that lightly. After achieving a solid improvement in our lost time injury frequency rate stats last year, we achieved further progress this year with an LTIFR rate of 0.64 versus our target of less than 1. APA aims to be zero harm workforce for our employees, contractors and the broader communities in which we operate. We've completed the second year of a three-year HSE Strategic Improvement Plan after conducting a companywide health and safety survey in 2013. We continue to implement new and fine-tune existing initiatives based on rigorous assessment of risk around health, safety and the environment. We'll continue to focus on enhancing operation and maintenance of our assets and investments. We are consolidating pipeline control and monitoring of operations. We are improving asset management systems and processes. We've invested in new systems to enable us to continue along this path and we are adopting new technology and global best practice to ensure we achieve the best efficiency and reliability that we can. We believe that looking after our people and our assets improves reliability, safety and efficiency as well as the economic life of all of our assets. All of our stakeholders benefit from this. With that, I'll hand over to Peter to go through the financial highlights.
Peter Fredricson: Thanks, Mick, and good morning, everybody. As usual, we've provided a reconciliation of statutory and normalized results on this slide. Whilst we are required to report statutory results, this year, the results include a once-off profit on the sale of our shares in Envestra. And so, again, the normalized results more readily reflect our views of ongoing operational performance and therefore drive underlying analysis of the longer-term value of APA. It's another pleasing result with solid growth across the board. Significant item adjustments are the same as for the first half, AUD 430 million of pre-tax profit from the sale of our shares in Envestra and AUD 17.2 million from the successful recovery of fees paid by Hastings Diversified Utilities Fund to Hastings Funds Management Limited following the legal action that we took against Hastings Funds Management. As Mick has pointed out, we recorded strong earnings growth across our business resulting in an 18% increase in EBITDA from continuing businesses. This includes a AUD 35 million EBITDA contribution from the newly acquired Wallumbilla Gladstone Pipeline. We will review an EBITDA bridge which will show the strong organic growth from our ongoing businesses later in the presentation. Depreciation and amortization increased due to a growing asset base and as a result of the Wallumbilla Gladstone Pipeline acquisition. Net interest expense was slightly lower year-on-year primarily due to cash received from the Envestra sale that was used to reduce debt in the first half and the interest income from term deposits received during the pre-settlement period of the acquisition of the Wallumbilla Gladstone Pipeline. Normalized tax was up nearly 30% with the effective tax rate also up to 28%. This was due to the Envestra sale and due to an increase in non-deductible amortization of contract intangibles related to the Wallumbilla Gladstone Pipeline. As explained in the first half, we received a final unfranked dividend from Envestra in July 2014 before selling our shares in that business in August of last year. Continuing business EBITDA increased by 18% to AUD 821.3 million. We've seen across-the-board growth in EBITDA with margin contributions coming from new expansions being commissioned during the year in both Queensland and WA and with the addition of one month's EBITDA from the new Wallumbilla Gladstone Pipeline. In an effort to provide investors with a better view of the financial performance of our infrastructure assets across the various states, we have separated corporate costs out from the various businesses from this reporting period forward. In the full-year Directors Report that we placed on the ASX this morning, we have provided five years of historical analysis of state-based EBITDA excluding corporate costs to assist in year-on-year analysis of state-based infrastructure performance. Previously, the allocation of corporate costs may have inadvertently masked the year-on-year operating performance of assets across the various states. In any event, the main point that's separating corporate costs out demonstrates is the significant leverage that we get from a corporate structure that allows us to add assets and capital investment with very little, very limited growth in underlying indirect costs. I'll talk more about that later. All in all, we are very pleased to see growth across all of our energy infrastructure assets over the past year with the East Coast Grid, in particular, seeing year-on-year growth in every state as gas has been moved by customers from Victoria North – through the Victoria-New South Wales Interconnect into New South Wales and further North or from Wallumbilla South into New South Wales at different times of the year. As has been noted already, it's this flexibility and adaptability that our customers are welcoming at what is a volatile time in gas markets throughout Australia. This EBITDA bridge sets out the drivers of our EBITDA growth over the year to 30th of June. As we have previously discussed with the sale of our shares in Envestra in August 2014, continuing business EBITDA for the comparative period to June 2014 is AUD 697 million. During the year, we added a net AUD 90 million of growth in EBITDA from our infrastructure, asset management and energy investments portfolios. This represents 11.6% growth in operating EBITDA coming primarily from our wholly owned pipelines. Add to that a AUD 35 million EBITDA contribution from one month of ownership of the Wallumbilla Gladstone Pipeline and a AUD 1 million increase year-on-year in corporate overheads, that's less than 1.5% increase, and we can be pleased with the disciplined growth across all aspects of our business. Growth in EBITDA across the business has been driven by the ramping up of the Goldfields Gas Pipeline expansions in the West, the commissioning of expansion on the South West Queensland Pipeline – of expansions on the South West Queensland pipeline, the continued ramping up of revenues on the South West Queensland Pipeline from the 2012 expansions, as well as outperformance year-on-year from each of the Roma to Brisbane, Carpentaria and Moomba to Sydney Pipelines. We completed the current phase of expansion of the Victoria-New South Wales Interconnect during the year, and whilst some limited revenues have flowed from the most recent expansions, we expect these to have a greater impact in 2016 and beyond. At the half year results, we talked about expecting some AUD 10 million to AUD 15 million of interruptible revenues over the full year given the then prevailing dynamic gas market conditions. Our customers continue to seek assistance and work with us to manage their portfolios on a flexible basis over the second half of the year, delivering some AUD 21 million of flexible shorter-term revenue for the full year in 2015. The 13% increase in EBITDA in the West came not only – came from not only underwritten expansions on the Goldfields Gas Pipeline but continuing growth in EBITDA from each of the Pilbara Pipeline System, the Mondarra gas storage facility and the Emu Downs wind farm. Finally, the addition of the Wallumbilla Gladstone Pipeline in June 2015 as we reached financial close on the acquisition added a further AUD 35 million of EBITDA for the full year. In the context of looking at providing further clarity on returns on a pipeline-by-pipeline basis, this slide provides a longer-term view of the relativities of each of the pipelines in the energy infrastructure portfolio. That said, the total service grid nature of our portfolio sees individual pipelines being of less and less relevance to us on a day-to-day basis as customers look to use as many as four pipeline systems on the East Coast Grid, in particular, for delivery of the gas through any one of 30-odd receipt points and 100-plus delivery points. Asset management earnings have continued to grow and whilst there continues to be annual swings in customer contributions, we do see the long-term average annual contribution from this part of our business settling at around AUD 10 million per annum. Asset management fees are based on formulae agreed with each of the businesses we operate but also on how we continue to grow the relevant businesses. In the networks business, during the year, we replaced 541 kilometers of mains across Queensland, New South Wales, Victoria and South Australia and we laid 350 kilometers of new mains for new urban developments. We also secured additional connection works to expand networks in Brisbane, Victoria and South Australia for both AGN, previously Envestra, and GDI. The energy investments result was clearly affected by the sale of our 33% share in Envestra in August last year. However, here again, the underlying continuing businesses recorded a solid result with increased contributions year-on-year from each of GDI Allgas, EII2 and SEA Gas. Clearly, APA has grown significantly over the last three years with EBITDA almost doubling since fiscal year 2011 from AUD 425 million to AUD 821 million today on a continuing business basis. And with the addition of the Wallumbilla Gladstone Pipeline for the full year in 2016, we wanted to give investors some sense of the leverage that we have maintained in growing the business. Corporate costs include all of those overheads that are not directly attributable to the operation of our pipelines or networks businesses and primarily reflect what might be termed head office or national costs that cannot be directly attributable to an asset or specific operating part of the business. Treasury, IT, company secretarial, CEO, project feasibility expenses are primary examples of this. Whilst revenue and EBITDA have achieved compound annual growth rates of between 15% and 18% over the past five years, corporate costs have been maintained at a compound annual growth rate of around 6%. More importantly, against growth and EBITDA of 18% in the past 12 months, corporate costs have been kept at a growth rate of less than 2% and have over the longer term experienced a significant reduction as a percentage of EBITDA from 12% in 2011 to 8% in 2015. With the addition of the EBITDA from the Wallumbilla Gladstone Pipeline in 2016 and with very little associated corporate cost increases, we expect corporate costs to EBITDA for fiscal year 2016 to reduce materially again relative to the current FY 2015 base. Mick earlier showed the APA map with all the projects that we've been working on over the past year or so. Total CapEx for the year was just shy of AUD 400 million. Growth CapEx of AUD 343 million was in line with the AUD 300 million to AUD 400 million of guidance that we had for the year. CapEx was spent on the completion and commissioning of the compressor stations at Moomba, Wallumbilla, Culcairn and Winchelsea, as well as looping for the Victorian Northern Interconnect and the GGP expansions. Again, in line with previous guidance, stay-in-business CapEx was AUD 51 million for the year. This includes CapEx for technology renewal projects mainly in the networks business. As it is normal at this time of the year, we have a significant amount of projects already committed and underway for the FY 2016 year with forecast growth CapEx expected to remain in the AUD 300 million to AUD 400 million per annum range for the next two to three years As at 30th June, we had around AUD 1.6 billion of cash and committed undrawn facilities. So this has been reduced to around AUD 1.3 billion post balance date due to us undertaking a syndicated debt facility restructure to reduce the amount of headroom that we are carrying into the new year. Our balance sheet remained strong with gearing at 63.4% and interest cover ratio of around 2.6 times. As highlighted previously, we accessed the international debt capital markets in March of this year to raise long-term debt funding that assisted in the financing of the Wallumbilla Gladstone Pipeline acquisition as well as providing for the immediate ongoing capital needs of the business. The successful issuance of US$3.7 billion worth of debt securities in the sterling, euro and U.S. 144A markets has had a positive impact on our debt profile reducing our average interest rate for the year to 30th of June 2015 and extending the average maturity of our facilities to around 8.5 years. As a result of the issued debt securities being fixed coupon instruments, our level of fixed interest exposure has increased to 94% as at the 30th of June. It's also worth noting at this point explaining how we are thinking about the U.S. dollar exposure here. Wallumbilla Gladstone Pipeline tariffs will be received in U.S. dollars from the foundation contracts on the pipeline over the next 20 years. The US$3.7 billion of debt raised in March 2015 is considered to be a designated hedge for these highly probable revenues and therefore we have retained those monies in U.S. dollars. They have not been swapped back into Australian Dollars. Net U.S. dollar cash flows after servicing the U.S. dollar interest costs that are not part of the designated relationship will be hedged on a rolling basis for an appropriate period of time, in line with APA's treasury policies. As a result, we've already hedged net cash flows expected for the next three financial years, in fact, out to September 2018. APA now has approximately AUD 8.6 billion equivalent drawn debt over tenors out to March 2035. As noted, the average tenor in the debt book is 8.5 years and the average interest rate applying to the drawn debt is slightly less than 6% on an annualized basis in Aussie dollar terms. Also, as previously noted, US$3.7 billion of the debt has been retained in U.S. dollars as a designated hedge to the U.S. dollar revenues that we will collect over 20 years from the foundation GTAs on the Wallumbilla Gladstone Pipeline. All other debt is either drawn in Aussie dollars or hedged back in to Aussie dollars. As a business we remain committed to our two investment grade ratings, BBB from Standard & Poor's and Baa2 from Moody's. These are integral to our strategy of accessing the broadest range of global debt capital markets, thus, ensuring that our cost of capital is kept as low as possible, allowing us to compete with infrastructure players who have access to a broader base of low-cost equity and debt investors globally. The acquisition of the Wallumbilla Gladstone Pipeline was proved positive of the benefits of maintaining that commitment. Our ability to quickly and efficiently access debt capital markets for well price priced long-dated debt meant that our funding for the acquisition on the APA balance sheet was very competitive relative to other bidders. We have access to sufficient onshore funding to meet our near-term USPP debt repayment obligations in September 2015, July 2016 and September 2016, whilst also having sufficient resources to meet all currently identified operating needs for the next operating period. The issuance of some AUD 1.8 billion in equity to support APA's expansion by way of organic growth and acquisition in 2015 was a very successful exercise for us. The accelerated renounceable entitlement offer enabled all APA security holders to participate. In excess of 75% of all security holders took up their rights with those that renounced their rights receiving a minimum of AUD 1 per security post completion of the book build that allocated for the renounced securities. Most pleasing for us was that all of the renounced securities were allocated through the book build process to then current shareholders or security holders in APA. The support for the equity side of APA's capital raising initiatives in 2015 was matched by the US$3.7 billion raising that was completed in March 2015 in the euro, sterling and 144A markets. No Australian BBB-rated corporate has ever raised as much in the debt capital markets in such a short time and at an average U.S. dollar interest rate of around 4.3%. We were very well supported by all three markets. As Mick has already noted this morning, the board declared a final distribution of AUD 0.205, bringing the total fiscal year 2015 distribution to AUD 0.38, a 4.8% increase from the 2014 distribution of AUD 0.3625. This reflects growth in operating cash flow per security of 7.9% on a normalized basis. The distribution payout ratio was more or less the same as last year at 69% given that we have in the order of AUD 280 million new securities on issue at year-end more than we were outstanding at the end of June 2014. APA's distribution policy remains the same. At APA, distributions are to be fully covered by operating cash flow, are to be sustainable over the long term, will generally grow in line with operating cash flow and will have regard to the capital needs of the business and the economic conditions at the time. We have a soft target of 60% to 70% of operating cash flow payout ratio. However, this will always be balanced with the need to maintain the BBB, Baa2 ratings and the need to fund our growth with an appropriate balance of funds retained in the business, debt and equity. Before I hand back to Mick, Mick, I'll quickly cover off on financial guidance for the coming financial year. On a business as usual basis, we expect EBITDA inclusive of a full-year contribution from the new Wallumbilla Gladstone Pipeline to come in at AUD 1.275 billion to AUD 1.31 billion. This represents a contribution of around US$355 million or around AUD 470 million from the Wallumbilla Gladstone Pipeline and growth across the remainder of the APA portfolio of around 3% at the lower end to 7% at the upper end of guidance. Interest costs are expected between AUD 500 million – to fall between AUD 500 million and AUD 510 million, reflecting a full year of the AUD 8.6 billion debt base and, as previously noted, we still have good visibility over growth CapEx which we expect to stay in the AUD 300 million to AUD 400 million range for the next two to three years. As it's been our practice over the past four years since August 2011, we confirm that distributions are expected to be at least equivalent to the AUD 0.38 per security paid in respect of FY 2015 and any further increases above that figure will be determined at the half year and full year results as we lock in the operating cash flows from which those distributions will be paid. With that, I will hand back to Mick.
Michael Joseph McCormack: Thanks, Peter. Moving on to the strategic outlook of the business, slide 27 provides an outline of our strategic focus that we believe will generate continued growth and return for our stakeholders. Four points we made on this slide, number one, we'll continue to grow organically. That is the real strength of APA's business. As Peter has noted, we expect to maintain our growth capital expenditure in the range of AUD 300 million to AUD 400 million the next couple of years. We expect this to be spent on capacity expansions and enhancements to our assets that will allow us to offer more flexible services to our customers who continue to talk to us about their ongoing energy needs. The second point, energy market conditions will remain dynamic over the next year or two with two more LNG plants ramping up at Gladstone. We will continue to provide holistic and value add services to our customers so that they can manage through any volatility in the gas market. By connecting more gas basins with more gas markets, the gas industry as a whole will have a lot more choices which is likely to result in more transparency within the industry. Third point, we are always looking at greenfield opportunities, that's the nature of APA. I've spoken about these in Goldfields Pipeline and the NT Link earlier; however, there are other opportunities that will arise, be they to connect new gas fields or to connect new end users or markets. And finally, the fourth point, with regard to M&A activity, we continue to assist the possibility of taking over the operatorship of the Wallumbilla Gladstone Pipeline from QGC who are currently operating it for us under contract. We'd only do so when we're confident that we can get ongoing value from taking over the operatorship. On other acquisitions, the Wallumbilla Gladstone Pipeline transaction which I've said earlier has been the largest pipeline transaction in Australia to date, obviously, will be a hard act to follow. However, we'll continue to look at the complementary midstream asset space with interest and we'll continue to kick tires on any pipeline or related assets that are up for sale. Again, that is the nature of APA. Any acquisition will need to be assessed on our value add to the particular asset and, vice versa, also the asset value add to APA. And needless to say, it needs to be in line with our strict criteria that includes strategic fit, risk return and financeability. Our business is about connecting gas resources to gas markets. APA's interconnected assets and smart solutions have provided and will continue to provide flexibility to customers and improve transparency for the industry. With that, thank you. We'll now move to questions. May I ask that analysts ask their questions first and time is being set aside to talk with journalists after the presentation.
Operator: Thank you. [Operator Instructions] Your first question comes from Simon Chan with Merrill Lynch. Please go ahead.
Simon Chan: Good morning, Mick and Peter. First question just in relation to slide 17, the AUD 21.4 million of short-term services revenue, how should I think about that for FY 2016 and is that the reason you've given 3% to 7% guidance range or is that upside to that?
Peter Fredricson: Simon, its Peter Fred. The 3% to 7% is based on AUD 821 million less this AUD 35 million. So it's – obviously that 3% to 7% includes that AUD 21 million as part of the base. If you took that AUD 21 million out of the base, I think that the growth that we would expect to get to the guidance we've given is something like 5% to 10%. So, what we see is that we got a dynamic business here that includes those sorts of revenues in any given year, customer contribution revenues in any given year, and these fluctuate with time. So, we're not saying we'll get X amount in this particular year, but we're saying that within the overall portfolio, we'll get some more of that revenue, and that will contribute to the AUD 1.275 billion to AUD 1.31 billion.
Simon Chan: I guess, the other way to spin the question, Peter, is with so much ramp gas sloshing around in Queensland, like, is it fair to assume that you'll probably make another AUD 21.4 million of short-term revenue for FY 2016?
Peter Fredricson: We are not using a specific number. It's fair to assume we will have revenue from that.
Michael Joseph McCormack: And, Simon, if I can just make a point there, in respect to ramp gas, we're out there talking with all three projects, and we don't make a market in that sense. We're helping them solve their supply side issues. So we – again, we don't – we're not – we expect to earn some revenue there, but we haven't put a number on it.
Simon Chan: Excellent. And just my final question then, Mick, you mentioned just at the end there you guys like to kick tires on whatever pipelines are up for sale as long as it's within the strategy. Can you just confirm for me what the strategy is in relation to geography as in Australia only, et cetera?
Michael Joseph McCormack: Look, I'm happy to rearticulate what I've said over the last four years – four or five years. We're an Australian-focused business. Yes, we do a couple of days' strategy with the board every year and, for the last four or five years, it's been a dot point to have to look overseas. But truth be known, there's always been that much to do in Australia that we really haven't been able to advance that, ipso facto, there's been no need to. So geography right now, there's plenty to do in Australia, Simon, that we do and as you would expect us to do where we have big business in Australia these days. So we do keep a bit of a raving brief on potential opportunities overseas but absolutely nothing of – to talk about.
Simon Chan: That's terrific. Thanks, Mick.
Operator: Thank you. Your next question comes from Michael Dargue with Citigroup. Please go ahead.
Michael Dargue: My question is around the growth outlook. And you've again highlighted that you're considering investment opportunities in the midstream E&P space. Could you just give a bit more color on that, firstly, what kind of assets should we be thinking of, is it processing plants kind of high and low pressure pipelines, storage and things or are there any other kind of asset types you'd be interested in this space?
Michael Joseph McCormack: I think, Michael, and you've done me a favor, you've answered your own question. That's exactly what we're looking at. Now, we're a big business. Our core skills are gas distribution, gas transmission. It's well noted by commentators and financial markets that in our space, there are a number of companies probably looking to support their own balance sheets and potential opportunities for them maybe to divest assets. I'm just simply stating what have been the facts for APA over a number of years at anything that's around gas pipelines, gas distribution systems, I mean, by that hooked up to them, you'll find – and suits our balance sheet, you'll find APA having a look at. So what we're saying we've got the balance sheet. We've got the core skills. If those midstream style of assets were to come on the market, yeah, we'll kick tires. And I'll just reiterate a point we've made consistently over the years. We only invest in assets that suit the balance sheet, so that's long-term secure revenue.
Michael Dargue: Okay. Great. And then a follow-on question on that is, given Santos is talking about sales and Beach highlighting it as well, how attractive do you see the midstream assets versus other growth options in the portfolio? And then I guess the second piece is what kind of numbers should we be thinking about in terms of the scale – the size of opportunities and obviously how much balance sheet capacity you've got to fund these assets?
Michael Joseph McCormack: Yeah, look, I mean, I'm happy to make a couple of observations there, but I really am getting into speculation which APA doesn't tend to do. The assets that we would look at typically would have the same risk/reward around them that's – or very similar to the assets that APA is currently invested in. As it happens, we've got gas processing albeit small scale. We've got gas-fired power generation. So the midstream assets again that are underwritten by long-term contracts would fit ideally into that area. As to size, again, I'm simply making some observations based on what I've seen and heard around the markets for the last year or so that there are a number of assets or rather companies that are thinking about options they have regarding monetizing some of those midstream assets.
Michael Dargue: Okay. Great. And then the last question from me, on your interest rate exposure moving forward, the aspects to hedge 94% in 2015, how should we be thinking about that moving forward?
Peter Fredricson: Well, when you look at the book of debt, you'll see that there's very little drawn in Aussie dollars. I think we've got about AUD 120-odd million of facilities drawn in Aussie dollars, but we've got AUD 400 million of cash as a result of having paid US$400-odd million less for the Wallumbilla Gladstone Pipeline. The way we look at it, we will deal with some USPP stuff that's coming up in the next 12 months with those facilities that we've got available to us, the more short-term Aussie dollar facilities. We've got the subordinated notes. They're drawn in Aussie dollars and are floating. I think that's mostly what you'll see. We've always – we've gotten ourselves into a position where we're likely, when we have a reasonable size or reasonable chunk of Aussie dollar drawn debt, to go to tune that out in the international markets if those markets are showing us good pricing and good liquidity. And you've seen that happen in March. We're likely to see that happen again. It's just a matter of when we need to do that. And so, in the shorter term, I would have thought we've got that 6% of the portfolio that's drawn in Aussie dollars is likely to stay floating in the shorter term.
Michael Dargue: Okay. Great. That's all for me. Thanks, guys.
Michael Joseph McCormack: Thanks, Mike.
Operator: Thank you. Your next question comes from John Hirjee with Deutsche Bank. Please go ahead.
John Hirjee: Thank you. Good morning, everyone. A question, Mick, to you in terms of you've sort of taken the keys to the Wallumbilla Gladstone Pipeline, I just wanted to get your impressions of how you found the asset, has been gold-plated or do you think there are opportunities there for APA to bring its own way of doing things associated with maintenance and things like that? How have you found the assets in terms of your ownership now that you've – sort of responsible for it?
Michael Joseph McCormack: Good, thanks, John. And, yeah, as an engineer, mate, it's not gold-plated, this is very well built. So – and that's indeed how we found it. It's a world-class asset magnificently built, constructed. That said, our operating teams are working very closely with BG's people to bring a little bit of local onshore expertise to that pipeline, which, as far as I'm aware, BG very much appreciated. And that is all about in the early days of making sure that we can do – we as an APA can do its best in ensuring that BG's export facilities run reliably and continuously.
John Hirjee: All right. Thank you. Peter, a question to you where you've indicated that FY 2016 net cash flows from this particular asset are hedged. Can you sort of elaborate a little bit on the hedging policy for the currency particularly as it may be going in your benefit for at least the balance of this year and, who knows, next year?
Peter Fredricson: Yeah. What we've said at the outset, I think, John, was that we would likely to hedge net revenues on a sort of a rolling basis, and we've done that. At the 30th of June, we had the FY 2016 net revenues hedged. We've disclosed that subsequent to that period of time we have hedged both FY 2017 and FY 2018. And as we've received the June revenues in July and we now expect the July revenues in August, end of August, we've actually added a couple of months in the following FY 2019 year to that hedge book. So, we will just continue to look at it on a day-to-day basis. Clearly, we've got a designated hedge situation where the debt that's outstanding hedges revenues until we put those revenues into a forward exchange contract, so that's a pretty dynamic thing. But you can expect this to stay about three years ahead of the curve, I think, at this point, which is what we said at the beginning.
John Hirjee: Right. So it's a policy rather than a discretionary aspect of that?
Peter Fredricson: No. I think it's discretionary. I mean, it's discretionary as far as we're concerned internally, but we've got a dynamic and a professional treasury team that is looking at this on an ongoing basis. And we think now is the pretty good time to be doing some stuff, but they haven't put everything away and they'll continue to have a look at things as they pan out. So we've said at the beginning to the market, we'd probably have about three years of forward cash flows hedged, and that's what we're doing at the moment.
John Hirjee: Right. So what I'm trying to get at, Peter, is that, as the Aussie dollar depreciates against U.S. dollar, there could be some upside in these numbers, is that fair?
Peter Fredricson: Well, I mean, there could be upside in the numbers beyond September 2018 because everything else is hedged, everything up until that point is hedged today. And the answer is yes, if the Aussie dollar continues to depreciate tomorrow, then the October 2018 numbers are going to look better.
John Hirjee: All right. Very good. Thank you, Peter and Mick.
Michael Joseph McCormack: Thanks, John.
Operator: And your next question comes from Ian Myles with Macquarie Group. Please go ahead.
Ian Myles: Hi, guys. Obviously a bit blunt, is – on page 83 of your accounts, you still say hedge of US$0.757 for the U.S. dollar, is that the rate you're using in your guidance?
Peter Fredricson: The rate we're using in the guidance, divide 355 by 470 it's AUD 470. The issue is this, what we've hedged is the net cash flow, so it's revenue less interest. What we put into our guidance for EBITDA is EBITDA, it's not net cash flow. So, the number in the FY 2016 is AUD 470 million.
Ian Myles: Okay, okay. In terms of your corporate cost, given you've now broken them out, should we see those growing at that 6% per annum given that four-year and five-year run rate or these savings which you talked about in putting in the centralized monitoring system, is that actually part of the corporate cost where you'll see some savings come through there?
Peter Fredricson: I think it's – from an assumptions perspective, we haven't really thought about what you should assume over the next four or five years. What you want to assume is up to you. I think that, from our perspective, what we're trying to do here is we're trying to show that there's pretty good leverage in the way we run this business. And from a forecast perspective, again, we've not given forecast on anything other than EBITDA. Within that, corporate costs will grow because it is tough to do.
Ian Myles: Okay. Can you maybe give us a bit of a color on some of the legacy contracts from more that old world of where we have singular pipe, do you have a large number of those legacy contracts coming up for renewal in the next 12 months to 24 months?
Michael Joseph McCormack: Look, I wouldn't say a large number, but there are – there is at least one there that that's of considerable substance that we've talked about last few years, so the contract with AGL that runs out end of calendar year 2016. Yeah, to put into context, Ian, I don't think I'm exaggerating much, but we've got a contract run out every second day. The business is spread across length and breadth of Australia. The real strength of the business is that we see a continuing demand for our services. So that's why we continue to be relatively optimistic about the short, medium and long-term prospects for gas because what we see is continuing demand for our services, which means that there will be demand for individual demand for service on individual assets which itself turns itself into demand for re-contracting on those assets. So, yeah, I mean, it's – yeah, there are contract accounts that are coming up for exploration there. They're being replaced with similar contracts on the East Coast, in some cases, they have, and they will be replaced with multiple-asset contracts. Again, I'm making a point here that, Peter and I in talking about the business, we're not a single-asset company these days, so the level of granularity that we talk about in sessions like this isn't great. It's a macro view of the business which turns itself into that AUD 300 million to AUD 400 million of CapEx a year.
Ian Myles: Okay. And in terms of signing more contracts, you've been growing the sort of those network contracts for moving gas from the south to the north or is that still to be – emerge?
Michael Joseph McCormack: I've used the word the gas superhighway. I mean, let's not let that slip too lightly. I mean, that's a world first. What APA has done here is not replicated on the globe. So, we are leading the world in offering – a single company offering flexible innovative services. We can pick up gas from 30 receipt points delivered to 100 delivery points. We can go south, north, east, west in any direction in between, et cetera, et cetera. So, I've said over the last year or so that the last piece of jigsaw puzzle in getting us to that gas superhighway was the Hastings transaction. And I'm the first to admit now that the benefits of that has brought to both APA and the broader gas industry, I certainly, I mean, I understated. And getting to answer your question specifically and, yes, those north, south contracts have emerged and we expect them to further emerge as we respond to the dynamic nature of the market.
Ian Myles: Okay. That's great. Thanks.
Operator: Thank you.
Michael Joseph McCormack: Thanks, Ian.
Operator: Your next question comes from Robert Koh with Morgan Stanley. Please go ahead.
Robert Koh: Good day, guys. Thanks for your presentation. Just wanted to ask about, I guess, without going into granular details, as you mentioned, Mick, that the New South Wales market and how you're seeing – is that market becoming more dynamic or less dynamic as a result of other facilities coming online?
Michael Joseph McCormack: Look, I think it's fair to say it's becoming dynamic for APA. And when I talk about dynamic for APA, the New South Wales market for us doesn't just include the Sydney market. The New South Wales market these days includes gas going through New South Wales by its north and south. So, the Sydney market per se is just part of, these days, the East Coast Gas Grid. The days of the various parties shouting out the gas crisis, we've never subscribed to that. It's for some of the customers in the South East here, it's a tough time to be renegotiating contracts. It's – that's been well documented. But for APA, we'll continue to do what we can, and we demonstrated that with expanding the Victoria-New South Wales Interconnect, flexible services from both north and south. So, customers in New South Wales, if they want gas delivered, we're very happy to assist them and, over the next couple of years, as the ramp-up in the Gladstone projects works its way through, we said we continue to believe that there will be sufficient gas to meet the market.
Robert Koh: Right, thanks. Okay. And I think the last time I asked you a question about what was your – the key worry in the business, I don't know, you worry about lots of things, but you mentioned all the reviews going on the sector, and what are your thoughts on the status of those reviews still ongoing?
Michael Joseph McCormack: Yeah. Thanks, Rob. And I got my general counsel looking daggers at me not to call in the wrong names. The only thing that worries is the various reviews going on into the gas business, the ACCC review, as far as I'm concerned, answering questions already been answered. APA, this is my personal view, APA just finds itself probably taken some collateral damage in the outcome of that review. I've said consistently, APA has not turned up to any customer in the last year or two and said, if you want services to our pipelines rather than paying AUD 1, you are going to pay AUD 5 or AUD 6 and take it or leave it. APA has just not done that demonstrably. Our tariffs have been relatively flat in real terms. So, why we're been called to provide truckloads of information to that enquiry, I'll let others answer. Am I in trouble [indiscernible] (59:20)?
Robert Koh: Fair enough. Okay. Thanks, Mick, and...
Michael Joseph McCormack: Yeah. Rob, mate, not happy at all. I mean, we are trying to solve problems for customers and we spend billions building out of East Coast Gas Grid not replicated on the planet, that is a fact, and yet we got regulators looking at us.
Robert Koh: Good. Thank you very much.
Operator: Thank you. Your next question comes from Peter Wilson with Credit Suisse. Please go ahead.
Peter Wilson: Hey, good morning, guys. It's probably a question for Peter. Just on dividends, I note your comments around balancing the growth in cash flows versus the investment opportunities available. But based on your guidance, you have perhaps a 40% increase in operating cash flows per share next year, does the ability to distribute those, does that hinge completely on the big chunky growth options, i.e., the Northern Territory Link or one of these midstream assets or should we think about your dividend policy external to those big chunky growth options?
Michael Joseph McCormack: No. I've got – Peter might embellish the comments. But no, our distribution policy, we're very, very proud of not only the policy but, more importantly, for our investors, its outcome. APA, long-term sustainable business. So we don't look at the next year or two, we look at the next five years or 10 years. Equally, we look at the last 15 years that we've been in operation. Our performance speaks for itself. You've never seen us cut distributions and then promise 3% or 5% per annum increases the next four or five years then find yourself that we know we can't afford that. Just making a point that's close to my heart, look at APA, what we say is what we do. Distribution policy, absolutely fundamental, and the outcome of that is you haven't seen APA cut a distribution, we've grown them 15 years straight, and that's my expectation into the future. Peter?
Peter Fredricson: And, look, what I'll add is this, we've – over the last five years, we've looked at our cash flows at the time we've announced distribution, and we've announced the distribution based on what the circumstances were at the time, and we'll continue to do that. You, guys, can have an expectation as to what we might do, but we've given four or five different parameters that need to be looked at when we determine what our distribution will be. And each of those, you just can't sit here six months before the time and say that they're all going to have an outcome that ends up in being X, Y. So we'll just get on with it. We'll put the money in the bank and, in six months' time, we'll have a look at that and the board will say what we're going to do next. And that will inform the rest of the year. So it's about delivering on what we say not about putting a whole lot of hype and expectation out there that may not be delivered on for one reason or another.
Michael Joseph McCormack: And I'll just add to that one more comment which we said for many years now, APA is a growth company. I'll let others talk about when yield pays and all that sort of stuff wouldn't have a clue what the yield of APA is today or last year or next year, don't care. We are a growth company. So, as you'd expect any growth company that acts responsibility and prudently, we've got to balance the issue around funding that growth with distributions, and I think we've done that well and certainly to the benefit of our unit holders.
Peter Wilson: Okay. And just a quick question on the comments you made earlier around assuming operatorship of the Wallumbilla Gas Pipeline. Correct me if I'm wrong, but doesn't that pipeline have a cost pass-through element to it, so that you taking over operatorship and potentially bringing your expertise and bringing down costs wouldn't actually result in any net cash flow benefit to yourself? Is that correct?
Michael Joseph McCormack: Well, that is correct. However, as we said at the time, put any benefits even if we – if those costs were in a pass-through, the cost of operating a pipeline like that in respect to or in contrast to US$355 million a year is pretty minor. The bigger picture for us isn't necessarily about who is shutting valves. For us, it's about what we can do in providing services to other customers, and that's the interest to us.
Peter Wilson: And to what ability or to what extent you have the ability to offer services to third parties without the consent of QCLNG?
Michael Joseph McCormack: Well, I mean I cannot answer this pretty simply. It's our pipeline. So, I mean, I know there's other parties that were unsuccessful in that transaction. I've been telling the market that somehow it's not our pipeline, so we got no control over it. But I can only repeat what I've been saying for the last – since about December 12 last year when we announced the transaction. Yeah, we own the pipeline, so if someone wants to use it, we'll talk with whoever we have to talk to, to enable that party to use it.
Peter Wilson: Great. Thank you.
Operator: Thank you. Your next question comes from Baden Moore with CLSA. Please go ahead.
Baden Moore: Morning, Mick, Peter. Just following on, I guess, from that in some ways. And I realized it's only early days on your ownership of the new pipe, but if I look at slide 21 of your presentation today, your growth CapEx guidance over the next two years to three years is still only AUD 300 million to AUD 400 million. We saw a step up obviously post 2012, but shouldn't we be expecting a bit of a step-up in your growth CapEx expectations and targets given your portfolio is a lot larger now, and you're stepping into mid-stream assets as well?
Michael Joseph McCormack: Well, couple of comments, just I'm not meaning to correct you, but when you say only AUD 300 million to AUD 400 million, look around what's happening in our industry, not real pretty at the moment. So, I'd be really happy with AUD 50. So to say that it's AUD 300 million to AUD 400 million, I'm not being flippant, that is testament to APA and that's the real strength of APA, our organic growth because that's growth that comes to us because we're helping our customers solve their energy requirements. Now, as to the lumpier growth that comes, when you look at the BG pipeline, it's brand new and that's the great thing about pipelines. You build one these days, put it in the ground, it will sit there. Generally speaking and I'm not exaggerating too much, it will sit there for next 100 years. So pipeline, that's the beauty of them – very capital intensive upfront. They're buried; the stay-in-business capital required on them is very minor. So that's answering the question about the BG pipeline or the Wallumbilla gas pipeline. My marketing people are nodding their heads here, the Wallumbilla gas pipeline. We spent a fortune on marketing initiatives to come up with that name. The Wallumbilla gas pipeline is – it's brand new, so it's fit for purpose, so we don't expect there to be much capital expansion there anytime soon just to service its current contracts. Now if it needs to be expanded for other reasons, fantastic. And that's really the same with the rest of the business if over and above our organic growth, there's an opportunity to spend some serious capital, the NT Links could be one. We'll buy something. Yeah, sure, it comes along, but we don't necessarily factor that into the AUD 300 million to AUD 400 million we're talking about, that's basically our expectation of committed projects. Sort of waffled on a bit there, I'm afraid, Baden.
Baden Moore: All right. Thanks, guys.
Operator: Thank you. Your next question comes from David Leitch with UBS. Please go ahead.
David Leitch: Good morning. My question is pretty brief. I just wondered on the Iona Gas thing. You were in the paper as being one of the potential bidders and the ACCC is looking into that, do you expect to have any issues in regard to that?
Michael Joseph McCormack: Hey, look, we don't comment on business development activity, David, but happy to say that the Iona opportunity where we're kicking the tires there, mate, I can't get out of bed without the ACCC sending something to me. So, they're investigating APA, no one else, I understand. So yeah, they make their market inquiries as we would expect they do given who APA is these days. As to any substance in their inquiries, I'm sure they'll come back with a blank sheet.
David Leitch: Thanks.
Operator: Thank you. Your next question comes from Will Allott with CBA. Please go ahead.
William Allott: Thanks, guys. Just two quick ones. Just in WA, can you talk about how Mondarra is performing? And I guess on a broader outlook as sort of the new wave of gas comes in 2017, what the opportunities could be on that side of the coast? And then just secondly, obviously, same sort of concerted effort over the last couple of years to have a lot stronger gas focus. But just looking forward in regards, I guess, the power market and the need for more renewables, would you rule out getting back into sort of some of the infrastructure developments whether it would be sell the storage and how you guys can potentially play a role there?
Michael Joseph McCormack: Look, on the Mondarra question, Mondarra is doing very well, in fact, it exceeded expectation this year, so, no, doing, relatively speaking, very well. And you hit the nail on the head there, yes, there are some very, very existing prospects on the gas supply side caused by this, so we're very much hoping that Mondarra will play an expanded part in bringing that gas into the market, but it's case of watch this space. But yes, the fact that there are some prospective gas in the Perth Basin that should come on the market the next couple of years. It's very exciting for us. We're going to win the business, of course, but there's no point in trying to win businesses not there. I mean, the business potentially will be there, so that ought to be hopefully good for Mondarra. As to the other question – and it probably comes back to the Eastern part of the country, there's no secret there. It's an interesting time to be around the energy market at the moment. Renewable energy targets, notwithstanding gas side power gen doing a bit tough, but our view continues to be that notwithstanding the interplay and the renewables, both solar and wind that over the medium to longer term gas fired power generation will come back into the market so to speak.
William Allott: Cool. Right. Thanks, guys.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. McCormack for any closing remarks.